Operator: Hello, and welcome to The Vita Coco Company, Inc.'s Fourth Quarter and Full Year 2025 Earnings Conference Call. My name is Liz. I will be coordinating your call today. Following prepared remarks, we will open the call for your questions and instructions will be given at that time. I would now hand the call over to John Mills with ICR.
John Mills: Thank you, and welcome to The Vita Coco Company, Inc. fourth quarter 2025 and full year earnings results conference call. Today's call is being recorded. With us are Mr. Michael Kirban, Executive Chairman; Martin F. Roper, Chief Executive Officer; and Corey Baker, Chief Financial Officer. By now, everyone should have access to the company's fourth quarter earnings release issued earlier today. This information is available on the Investor Relations section of The Vita Coco Company, Inc.'s website at investors.thevitacococompany.com. Also on the website, there is an accompanying presentation of our commercial and financial performance results. Certain comments made on this call include forward-looking statements, which are subject to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are based on management's current expectations and beliefs concerning future events and are subject to several risks and uncertainties that could cause actual results to differ materially from those described in these forward-looking statements. Please refer to today's press release and other filings with the SEC for more detailed discussion of the risk factors that could cause actual results to differ materially from those expressed or implied in any forward-looking statements made today. Also during the call, we will use some non-GAAP financial measures as we describe our business performance. Our SEC filings as well as the earnings press release and supplementary earnings presentation provide reconciliations of the non-GAAP financial measures to the most directly comparable GAAP measures and are available on the website as well. And with that, it is my pleasure to now turn the call over to Michael Kirban, our Co-Founder and Executive Chairman. Thanks, John, and good morning, everyone. Thank you for joining us today to discuss our fourth quarter and full year 2025 financial results and our expectations for our performance in 2026. I want to start by thanking all of our colleagues across the globe for our continued strong performance overcoming the unusual challenges of 2025 to deliver a record year while also staying committed to The Vita Coco Company, Inc. and advancing our mission of creating ethical, sustainable, better-for-you beverages that uplift our communities and do right by our planet. I am incredibly pleased with our 2025 full year performance and yet even more excited about the opportunities for our category, our current momentum, and our ability to deliver very high execution levels which all bodes well for our future. Coconut water remains one of the fastest growing categories in the beverage aisle according to our retail data for 2025, growing 22% in the U.S., 32% in the U.K., over 100% in Germany. For the full year, Vita Coco coconut water, excluding our coconut milk products like Treats, grew 21% in retail dollars in the U.S., 32% in the U.K., and over 200% in Germany. This helped drive our strong full year growth in global net sales, gross profit, net income, and adjusted EBITDA. Our international business is accelerating, driven by strong performance in Europe. Our increased investment in the U.K., Germany, and other select European markets is paying off with healthy growth and brand share wins such that the international segment growth contributed 29% of the 2025 total company net sales growth. We will continue to invest in these core markets while exploring opportunities in additional international markets where we are well positioned to enter or drive profitable growth long term. Our recent appointment of Charles Van Asch as Chief Commercial Officer with global responsibility is indicative of our focus on international business, and our commitment to strategically invest in this long term opportunity. Charles has been with Vita Coco almost ten years, most recently leading our U.S. sales team, and has delivered years of strong growth as he built our sales and category management capabilities.
Michael Kirban: I am excited that he is taking on this larger role as I believe that our international business could eventually be as large as our U.S. business is today. In 2026, we will continue to double down on active hydration across markets as a driver of consumer growth, positioning Vita Coco as the natural choice for performance-minded consumers. Building on our strong occasion-based marketing framework, we will be expanding more deliberately into sport and recovery. We will endeavor to leverage professional athletes and partnerships to authentically demonstrate the role Vita Coco plays in real performance and recovery moments. With three and a half times the electrolytes of the leading sports drinks and clean ingredients, we believe that Vita Coco is uniquely positioned to recruit new consumers, increase usage frequency, and even further unlock the next phase of sustained consumer growth. The acceleration of the category that we saw in late 2024 continued through 2025, which combined with improved inventory and strong execution produced our excellent full year results. Looking forward, we expect to maintain strong growth trends as we invest in and develop the coconut water category in our priority markets and develop and nurture new markets.
Operator: Our asset light model,
Michael Kirban: leading market share, and strong cash generation positions us well to take advantage of the opportunities ahead. As I have said before, I believe that the coconut water category is in the very early stages of gaining mainstream appeal on a global level. Coconut water appears to be transitioning from niche to mainstream, and we are at the forefront of that trend. If we continue the household penetration and consumption gains that we are seeing, I am confident that coconut water will one day be as large as some of the major categories across the beverage aisle. And now I will turn the call over to our Chief Executive Officer, Martin F. Roper.
Martin F. Roper: Thanks, Michael, and good morning, everyone. I am pleased to report Vita Coco's record performance in 2025. We finished with net sales up 18% driven by full year growth of Vita Coco Coconut Water of 26%. Our brand trends are very healthy and driving the company growth. Our recent private label trends represent the previously discussed net effects of lost and gained business
Michael Kirban: with some business wins expected to start in 2026 which will improve these trends.
Martin F. Roper: Our Q4 branded scan results in the United States continue to be very strong, with a small benefit at the end of the quarter from the Walmart reset that took place mid-November, in which we recovered most of the distribution loss at the 2024 end and improved our total distribution and space allocation from 2024 levels, now in what we believe is a higher traffic aisle. We show some photos of a range of the sets in Walmart in our investor deck to demonstrate the improvement. Our U.S. Vita Coco branded business is benefiting from strong volume growth and also the net impact of the two price increases taken in the U.S. last year. In November, it was announced that going forward, most coconut water products would be exempt from the tariffs announced
Michael Kirban: earlier in 2025.
Martin F. Roper: These changes are applicable to most of our products sold in the U.S. but do not materially affect our fourth quarter results
Michael Kirban: as we continue to sell inventory which has been imported subject to tariffs in place before these changes. We expect
Martin F. Roper: cost of goods in 2026 to benefit from the tariff exemption for coconut water, and from lower full year average ocean freight costs, with those benefits partially offset by increased finished goods costs driven by normal inflationary pressures and some weakness in the U.S. dollar and increased domestic logistics costs. We believe average ocean freight rates during the quarter were still slightly elevated relative to historical levels, even as we saw rates soften through the quarter. We operated the quarter primarily on spot rates, with some fixed price arrangements on certain lanes to secure capacity. At the end of the quarter, we started exploring medium term fixed price commitments as we received offers closer to spot. We have made some commitments as of today that would cover approximately 25% of our expected 2026 ocean shipping requirements.
Michael Kirban: This will allow us to reduce volatility in 2026 from potential fluctuations in ocean freight rates.
Martin F. Roper: As we look to 2026 we expect healthy brand growth in our focus markets and positive growth in private label after the first quarter, benefiting from the new and regained business referenced earlier. We have secured capacity to support our expected growth and are well positioned with inventory and supply capability. We are excited by our start to the year, particularly the Circana U.S. trends of 24% growth for both the coconut water
Operator: category
Martin F. Roper: and Vita Coco Coconut Water through 02/08/2026, where we have benefited from some favorable timing of promotional activity earlier in the year
Michael Kirban: and the impact of the improved distribution at Walmart which we estimate is adding approximately 6% to the year-to-date brand trends.
Martin F. Roper: While we expect to hold most of our pricing taken in 2025 to cover our inflationary cost of goods pressures,
Michael Kirban: we do anticipate some increase
Martin F. Roper: in promotional initiatives so that we remain competitive. We still have the residual impact of the 2025 tariff on our inventory which means we will not see the long-term cost of goods representative of our ongoing business until Q2. From an investment perspective, we are endeavoring to deliver leverage on our SG&A spend even as, with the strong momentum for the category and our brand,
Michael Kirban: we plan to increase investments in marketing and sales to secure long-term brand growth opportunities.
Martin F. Roper: To summarize, our category is very healthy, our brand is performing well, and we are turning around our private label trends. We expect our international business to continue to grow at strong rates off a larger revenue base, which should contribute more meaningfully to our total growth. Our supply chain is performing well and capable of supporting continued strong growth. We are confident in our team's ability to execute and deliver on our plans for 2026, and our confidence in the category and Vita Coco brand trends remains very high. With that, I will turn the call over to Corey Baker, our Chief Financial Officer.
Corey Baker: Thanks, Martin, and good morning, everyone.
Corey Baker: I will now provide you with some additional details on the full year 2025 financial results and our outlook for 2026. For 2025, net sales increased $94,000,000, or 18% year over year, to $610,000,000, driven by strong Vita Coco coconut water net sales growth of 26%, partially offset by private label declines of 19%. On a segment basis, within the Americas, net sales grew 15% to $509,000,000 led by Vita Coco Coconut Water that grew net sales by 24% to $424,000,000. That was partially offset by private label which decreased 30% to $63,000,000. Vita Coco coconut water saw a 19% volume increase and a 4% net price mix benefit. Our Q4 shipments benefited from stronger than expected shipments at the end of the year, which resulted in higher distributor inventory than we had anticipated. We estimate that this inflated our fourth quarter net sales by approximately $7,000,000. Private label sales decreased 30% driven by a 26% decrease in volume, and price mix decrease of 5%. The weakness in private label Americas shipments was due to the loss of regions at key retailers that started early in Q2. Our international net sales were up 37% where we saw continued strong net sales growth across branded and private label coconut water. Vita Coco Coconut Water net sales grew 43%, and private label increased 34%. Consolidated gross profit was $223,000,000, an increase of $24,000,000 versus prior year. On a percentage basis, gross margins finished at 37% for the year. This was down approximately 200 basis points from the 39% reported in 2024. The decrease in gross margins resulted from higher product cost and the impact of tariffs, partially offset by branded coconut water pricing and favorable product mix. Within the year, we expensed $14,000,000 of the $16,000,000 in tariffs we paid, representing about two points of gross margin impact on the year. The remaining $2,000,000 of tariffs capitalized in inventory will flow through our P&L in early 2026. Moving on to operating expenses. SG&A costs increased to $140,000,000 driven by increased investments in people resources focused on driving future growth, and adding supply capacity in addition to increased marketing spend. Net income attributable to shareholders was $71,000,000, or $1.19 per diluted share, compared to $56,000,000, or $0.94 per diluted share. The 27% increase in net income was primarily driven by the increase in gross profit, and a gain on the fair value adjustments to FX derivatives in the current year versus a loss in the prior year, partially offset by higher SG&A investment and increased income tax expenses. Our effective tax rate for 2025 was 23%, versus 21% last year. The increase in the effective tax rate is largely driven by the mix of discrete tax items recognized during the year which were less favorable than in the prior year. Adjusted EBITDA was $98,000,000 or 16% of net sales, up from $84,000,000 or 16% of net sales in 2024. The increase was primarily due to the increased gross profit partially offset by higher year-on-year SG&A expenses. Turning to our balance sheet and cash flow. As of 12/31/2025, our balance sheet remained very strong, with total cash on hand of $197,000,000 and no debt under our revolving credit facility. For the full year, we generated $32,000,000 of cash driven by strong net income, partially offset by increase in working capital, mostly due to our $27,000,000 investment in inventory to support service levels and expected growth in 2026, share repurchases of $11,000,000, and $8,000,000 of capital investments primarily related to our new office spaces, which is significantly above our normal CapEx levels. We started 2026 with very strong category trends in our major markets, healthy inventory levels, and confidence in our team and our Vita Coco brand. We are excited about our ability to continue to deliver strong results. We expect net sales between $680,000,000 and $700,000,000 with expected gross margins for the full year of approximately 38%, delivering adjusted EBITDA of $122,000,000 to $128,000,000. We are planning strong net sales growth based on the U.S. category growing mid-teens and our international business, led by the U.K. and Germany, maintaining their healthy growth rates. We expect consolidated growth of Vita Coco Coconut Water of low to mid-teens with our U.S. Vita Coco net sales slightly lagging the category due to the impact from the strong year-end 2025 shipments to our DSD partners mentioned above, as well as investments in distributor incentives to deliver growth and the anticipated impact from the launch of private label at a large U.S. retailer. We expect strong private label net sales growth of 20% to 25% in the U.S. as we regain some geographic regions at multiple retailers and launch a new one as previously discussed. From a phasing perspective, we expect a Vita Coco promotion at a major U.S. retailer to move forward by one month. While this will result in consistent major promotions over the first half, we expect a shift of proportion of our net sales from Q2 to Q1 for Vita Coco Coconut Water.
Michael Kirban: We expect
Corey Baker: 2026 gross margins to improve from 2025 levels as we benefit from the branded pricing taken in 2025, the removal of tariffs, and favorable ocean freight rates, offset by the aforementioned promotional and incentive impact. We expect to invest a portion of the pricing we took in 2025 into incremental U.S. branded promotions. We expect that this will result in full year branded pricing increases of low single digits, with a higher mix of private label resulting in consolidated net price realization growing slightly. The phasing of branded pricing actions implemented in Q2 2025 will result in stronger net pricing early in the year and potentially declining net pricing starting in Q3 due to the promotional investments. We expect SG&A to increase mid- to high-single digits as a percentage of net sales as we increase investments in marketing and key personnel areas to deliver the expected 2026 results and invest for long-term growth. These investments will be partially offset by a planned reduction in incentive compensation. We expect to deliver SG&A leverage of about one point over 2025 as we continue to deliver strong growth with disciplined investments. And with that, I would like to turn the call back to Martin for his closing remarks.
Martin F. Roper: Thank you, Corey. To close, I would like to reiterate our confidence in the long-term potential of The Vita Coco Company, Inc., our ability to build a better beverage platform, and the strength of our Vita Coco brand and the coconut water category. We have strong brands and a solid balance sheet and believe that we are well positioned to drive category and brand growth, both domestically and internationally. We are confident in our ability and are excited about our key initiatives to drive long-term growth. Thank you for joining us today, and thank you for your interest in The Vita Coco Company, Inc. That concludes our fourth quarter 2025 prepared remarks. We will now open for questions.
Operator: Star 11 on your telephone, and wait for your name to be announced. To withdraw your question, please press Star 11 again. Our first question comes from Eric Des Lauriers with Craig-Hallum. Your line is now open.
Eric Des Lauriers: Great. Thank you for taking my questions and congrats on another very strong quarter. My first question is on private label. So there has certainly been a lot of movement
Michael Kirban: in recent years. Nice to see the regained regions and some new additional wins.
Eric Des Lauriers: Can you give us a bit more of a sense of the cadence of growth expected throughout the year? I think you said you expect it to improve after Q1. And then just in general, with all the movement in recent years, how should we think about the white space opportunity in private label in the Americas?
Michael Kirban: Just from here on out.
Eric Des Lauriers: Thank you.
Corey Baker: So, Eric, as we talked about, the phasing of the private label is quite hard. We have a difficult lap in Q1 as we still retain many regions, and then post Q1 we should start to see that new business impact the P&L. What is still hard to call because of the way we account for it is when new customers will come on board. So you should see that full year growth 20 to 25 in Americas starting in Q2, but somewhat of a ramp towards the back half.
Eric Des Lauriers: Okay. That is helpful. And then And I would just add that the amount of white
Michael Kirban: the private label business is much more diversified than it would have been in the past, both new retailers that have been added or being added in the U.S., also internationally.
Eric Des Lauriers: Okay. Great.
Michael Kirban: Then this
Eric Des Lauriers: in terms of the white space opportunity in private label, should we think of there as being, you know, considerable more opportunities for you guys to win
Michael Kirban: in
Eric Des Lauriers: the Americas, or, you know, are you sort of, you know, like you mentioned, you are diversified, you have a solid chunk. Should we not look for that as being a major growth driver in the U.S. going forward? Again, just trying to get a better sense of the white space opportunity after you have, you know, won all these new regions? Yeah. In the U.S., you know, private label is a little bit dominated by one major club player.
Corey Baker: And just putting that player aside for a bit, in the remaining private label universe in the U.S.,
Martin F. Roper: we are not supplying at all. There are still some retailers there that we would look at that business and say it was
Michael Kirban: attractive
Martin F. Roper: and so there are still opportunities to win that business or parts of that business with some retailers that we currently do not service. As it relates to the major player, we have serviced that player sort of pretty consistently but reduced regions over time, and we remain open to adding more regions or, you know, I suppose, could take regions away. It is the nature of the business. Right? We have described it as lumpy. But given their size, you know, their decisions are significant decisions to our business. Yeah. No. That all makes sense. And then just last for me. Just looking to drill down a little bit more into international. Certainly very encouraging
Eric Des Lauriers: results there. I think we have talked previously about I think this was
Martin F. Roper: sort of specific to Germany about, you know, the need to sort of get in via private label first, and it is sort of, you know, a crawl, walk, run
Eric Des Lauriers: you know, type ramping. Just wondering if you could provide a bit more kind of
Martin F. Roper: qualitative assessment of the international as we kind of look at it right now. Are we sort of poised to see, you know, continued
Eric Des Lauriers: acceleration in growth here? Are we still in
Martin F. Roper: the sort of building out phase? Just a bit more color on the international opportunity would be great. Thank you.
Michael Kirban: Sure. I think, you know, you can see in our reported numbers
Martin F. Roper: international sales, I think, grew 37%, which is an acceleration on the growth the prior year, and now off a larger base. Right? And so I think we have said all along that over time, international will become a large part of our business. So it should grow faster than our overall business, and as it does so, will add more incremental growth to our business over our base domestic business. We still look at Europe as a developing market. Obviously, within that, there are different countries that are different developed. If you look at our investor deck from June, you will see some per capita consumption numbers by country, which give you a sense for at least where those countries were. I think that data is 2024. Where those countries were in their development. And so I think we have talked about how the U.K. is five to ten years behind the U.S. in development. And then you have got our next largest market we talked about is Germany, which is at least five to ten years behind the U.K. So there is a long ramp there. I think if you imagine that Europe could have the same per capita consumption as the U.S., then there is no reason to believe that, you know, Europe and therefore international markets can be as large as our American business today. But, you know, our American business today is still growing sort of double digits. Right? So that is a moving target. And so we aim to close that gap in market development, but we know it will take time and we are doing it one market at a time as we see the opportunities, as we put people into that market to sort of seed it and then get it going, and then make sure we can ramp it up from a supply perspective. It is going really well. The European team is doing a great job and we look forward to, you know, hopefully many years of ongoing growth. Obviously, as the base gets larger, the growth rates will come down. But our plan is for international to continue to provide a significant part of our total growth, you know, for the foreseeable future. Very helpful, great to hear. Congrats again on the strong results, guys.
Michael Kirban: Thanks, Eric.
Operator: Our next question comes from James Ronald Salera with Stephens. Michael, Martin, Corey, good morning, guys. Thanks for taking our question.
Martin F. Roper: Good morning, Jim. Hey, Jim. I wanted to
Michael Kirban: to start off if maybe you can give us some detail around
Martin F. Roper: the Walmart placement, given the stepped-up visibility there. Is there any characteristics
Martin F. Roper: of the consumers
Michael Kirban: that are coming to the product via that channel that you might be able to share?
Martin F. Roper: Primarily new to the brand? If there is any
Michael Kirban: like I said, age or kind of demographic characteristics you could share given the significant increase in visibility being in that new set?
Martin F. Roper: So I think it is too early for any information on that buyer or change in buyer or the impact of new set to show up in our consumer data. Right? It is two, three months old. I think what we would say is we are very happy with the outcome of the set process. We have had an opportunity to go into Walmart. Depending on the type of Walmart you are in, you will see a slightly different set ranging from absolutely huge, and I would refer you to slide 10 in our investor deck on the right-hand side where you have got an example of one of the really large ones, to more normal, which will probably be the left-hand side, and then the smaller ones is sort of the central photo. Right? All of them are significant improvements over where we were before in terms of SKUs that we have in store and also shelf space and visibility. And that is showing up in our data on Walmart as growth. I think we said in the remarks, Walmart is adding 5% to 6% to our total scans right now, which is very cool. And, you know, given that growth rate, Walmart is gaining share of the coconut water category as a retailer. So that is really good. So I think that shows that the consumer is there. Obviously, this set, while it is in the same aisle, now it is a little bigger and maybe it moved a few feet. So people need to find it. But the actual consumer data will not show up if the data sets are not locked up or, you know, quite a few months or maybe even twelve. What we would say is the Walmart consumer is showing that they are willing to buy coconut water. We do not see any reason why Walmart should not be as a strong coconut water destination, and certainly that was our pitch to them. And they seem to have bought off on that in how they have used coconut water to anchor that part of the set on the juice aisle. And so, you know, we are excited. But, you know, in the big scheme of things, Walmart is a certain percentage of the business and this growth helps, but it does not necessarily significantly move the top line. But it is certainly very helpful. And I think we look at it and we think it is more likely that other retailers will follow Walmart in allocating space because people follow Walmart and they want to be competitive. So for us, it is a very positive leading indicator for what might happen this year or next year in the rest of the market. Great. And then Michael, I wanted to follow up on
Michael Kirban: some of the commentary you had around the hydration use occasion, particularly
Martin F. Roper: kind of more active
Corey Baker: users as a sports drink replacement.
Martin F. Roper: I know there is a lot of opportunity in these different
Michael Kirban: for these different use cases, but sometimes consumers
Corey Baker: do not really know what use occasion coconut water fills.
Martin F. Roper: Do you have anything, whether it is on advertising campaign or in-store activations, packaging,
Michael Kirban: planned for this year?
Martin F. Roper: That will really drive home that
Michael Kirban: particular kind of active hydration use occasion? And if so, any thoughts of kind of how that should layer in for the year and when we should expect to see that really driving that visibility to that use occasion? Yeah. Well, it is being built more into our overall communication in general, the three and a half times the electrolytes of the leading sports drinks, and being all natural from a tree, not a lab. So it has become a bigger part of our communication. We are activating in youth sports in a big way. I do not know if you have seen our partnership with Rush Soccer and getting into other youth sports programs. We have a program around some of the U.S. World Cup soccer players for World Cup activation. And so we are really focused on these types of activities. But all in all, it is, and we are also, we have actually been testing some media, which some of you might have seen. TV specifically. So all in all, it is a big focus, but it is the underlying reason that coconut water has been and is becoming so successful and the category is continuing to grow. The main functionality, whether the product is used in a smoothie or in a cocktail or all the other usage occasions, the hydration aspect, the electrolytes, I think, is the underlying reason and the functionality that is working so well.
James Ronald Salera: Great. Great. I appreciate the thoughts. I will hop back in the queue. Yep.
Operator: A reminder, if you would like to ask a question at this time, please press. Our next question comes from Michael Scott Lavery with Piper Sandler.
Michael Scott Lavery: Hi, guys. Good morning. This is
Corey Baker: on for Michael. Thanks for taking our question.
Michael Scott Lavery: Just want to ask what your just want to ask what your expectation for cash is. You are sitting on about $195,000,000 of cash. I know you guys have always had M&A on your to-do list, but
Martin F. Roper: there has not really been something interesting or at the right price. But how do we think about what cash is meant to go for?
Martin F. Roper: Thanks. So
Corey Baker: Michael, you are right. You know, the priority is to continue to grow the core brand and grow the category. And as we said, we do believe M&A will play a role at some point. It has not yet, and we remain active but disciplined. We have returned some cash to shareholders through repurchases. So at this point, we will continue to look for opportunities and continue to work with our board and subsets of our board on repurchases as we move along. So really no overall change in our approach at this point.
Michael Scott Lavery: Okay. That is great. Thanks. And
Corey Baker: can I just ask about innovation for 2026? Is there anything in the pipeline
Michael Kirban: and separately then, what are your expectations for marketing spend in 2026?
Martin F. Roper: Did not hear the second part. The marketing spend. Oh, okay. On the innovation side, you know, we are continuing to push things we were pushing last year. Treats has performed nicely, getting additional distribution. And we expect at some point in time to add an additional flavor, and I do not think we are quite ready to announce that on these airwaves right now. But that is our expectation, and it looks pretty promising. And then we obviously are continuing to push the multi-packs and, you know, the different pack formats. Innovation is playing a role by driving new news and sort of building our shelf space. When you look at the Walmart shelves, it is obvious that we are going to need a pipeline of pack innovation to maintain that as fresh longer term. So we are working on that. And then as it relates to marketing, we are increasing marketing. We want to increase marketing maybe a little faster than net sales of the branded side, partly because we believe that those opportunities, as we have talked about, in pushing the hydration method, and we are excited by some of the programs that Michael talked about coming this summer. Partly also to protect the brand versus private label. The private label price gaps that are currently there may widen as the private label vendors sort of pass tariff savings back, and we are prepared to try and hold our price where it is and see what happens, but reserving sort of price promotional investment, which is obviously part of how we think about marketing, as a way to potentially react. And that is how we are thinking about the planned increase, you know, pricing that we investment that we think for the rest of the year. So we are going to watch that closely, and we will balance increased marketing versus pricing actions to try and maintain our position relative to the competitors in the marketplace as they adjust pricing or not through the year.
Michael Scott Lavery: Great. Thanks, guys.
Operator: That concludes today's question and answer session. I would like to turn the call back to Martin F. Roper for closing remarks.
Martin F. Roper: Thanks, Liz. Thanks, everybody. We know a lot of folks are down at CAGNY, and we are looking forward to sharing a coconut water-based cocktail with folks Thursday night or Friday. So hope everyone has a good week, and thank you for your interest in The Vita Coco Company, Inc., and we look forward to talking to everybody when we announce our Q1 results in late April. Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.